Operator: Good day, everyone, and welcome to today’s Benchmark Second Quarter 2024 Earnings Call and Webcast. At this time, all participants are in a listen-only mode. Later, you will have the opportunity to ask questions, during the question-and-answer session. Please note today’s call will be recorded and I will be standing by should you need any assistance. It is now my pleasure to turn the conference over to Paul Mansky, with Investor Relations at Benchmark Electronics. Please go ahead.
Paul Mansky: Thank you, Khloe. And, thanks to everyone for joining us today for Benchmark’s second quarter 2024 earnings call. Joining me this afternoon are Jeff Benck, CEO and President, and Arvind Kamal, Interim CFO. After the market closed today, we issued an earnings release pertaining to our financial performance for the second quarter of 2024. And, we prepared a presentation that we will reference on this call. Both are available online under the Investor Relations section of our website at bench.com. This call is being webcast live, and a replay will be available online following the call. The company has provided a reconciliation of our GAAP to non-GAAP measures in this earnings release as well as in the appendix to the presentation. Please take a moment to review the forward-looking statements disclosure on Slide 2 in the presentation. During our call, we will discuss forward-looking information. As a reminder, any of today’s remarks, which are not statements of historical fact, are forward-looking statements, which involve risks and uncertainties as described in our press releases and SEC filings. Actual results may differ materially from these statements. Benchmark undertakes no obligation to update any forward-looking statements. For today’s call, Jeff will begin by providing a summary of our second quarter performance. Arvind will then discuss our detailed financial results and provide our third quarter guidance. Jeff will then return to share more insight into demand trends by sector, new business wins and close with some final remarks. If you please turn to Slide 3, I will turn the call over to our CEO, Jeff Benck.
Jeff Benck: Thank you, Paul. Good afternoon, and thanks to everyone joining our call today. Our outstanding second quarter results are another proof point of our consistent progress to our long term operating objectives. We met or exceeded our guidance range for revenue, margin, non-GAAP EPS and free cash flow. Let me step through a few highlights. Total revenue of $666 million was above the high-end of our guidance range. We were pleased with sequential and year-over-year strength in A&D and Semi-Cap, which despite anticipated softness in Industrials, Medical and Advanced Computing and Communications sectors allowed us to outperform on revenue. Our non-GAAP gross margins again exceeded 10%, marking the 6th consecutive quarter of year-over-year margin expansion. Our non-GAAP operating margin of 5.1% was above the high-end of our guidance. This represents a 60 basis point expansion year-over-year. This margin performance coupled with the revenue upside enabled us to deliver $0.57 in non-GAAP earnings per share in the quarter, also above the high-end of guidance. At the same time, we continue to benefit from the working capital initiatives we put in place last year. Notably, second quarter inventory was down $38 million versus last quarter, which was a key enabler to us being able to deliver positive free cash flow of $47 million. We have now generated over $230 million in free cash flow over the last four quarters. Although there’s work left to be done, I’m pleased with our team’s consistent execution and the results that they delivered. Now, let me pass it over to Arvind to share more details on the June quarter and guidance for Q3 2024.
Arvind Kamal: Thank you, Jeff, and good afternoon. Please turn to Slide 5 for our revenue by market sector. As Jeff mentioned, our total revenue in Q2 was $666 million. Semi-Cap revenue increased 5% year-over-year. We continue to see signs of improvement in the market and are well-positioned to capitalize on it. Industrial revenue decreased 15%. The decline was driven by reduced demand from existing customers, partially offset by new program ramps. We believe we’ll return to year-on-year growth in the sector as we exit this year. Medical revenue was down 23%. We continue to see inventory rebalancing and end demand weakness impacting medical devices. This will take at least a few more quarters to work through. A&D revenue was up 36%. Commercial aerospace demand remained strong both within aviation and space applications. Meanwhile, we continue to see robust demand within defense where we’re benefiting from existing program ramps and the launch of new programs. We expect this to continue throughout the balance of the year. Finally, as we mentioned last quarter, going forward, we’ll be reporting Advanced Computing and next generation communications as one sector or AC&C. This aligns more closely with how we manage these sectors internally. AC&C decreased 26% year-over-year. This decline was driven by several large HPC programs being completed earlier in the year, coupled with continued weakness in our communications business. Please turn to Slide 6. Our GAAP earnings per share for the quarter was $0.43. Our non-GAAP EPS was $0.57 which exceeded the high-end of our guidance range of $0.48 to $0.54. As a reminder, our non-GAAP results exclude stock-based compensation, amortization of intangible assets and restructuring expenses. For Q2, our non-GAAP gross margin was 10.2%. This represents a 20 basis point increase sequentially and 100 basis point increase year-over-year. Non-GAAP SG&A expense was $33.8 million down 3% sequentially and down 1% year-over-year. Non-GAAP operating margin was 5.1%, up 20 basis points sequentially and up 60 basis points year-over-year, driven by gross margin expansion. Our second quarter non-GAAP effective tax rate was 23%. Non-GAAP ROIC in the second quarter was 9.9%. Please turn to Slide 7, for trended financials on a non-GAAP basis. Regardless of the level of demand strength in our end markets, we maintain a sharp focus on protecting margin, which continues to expand year-on-year due to our high-value focus and expense discipline. Please turn to Slide 8, for a discussion of our cash conversion cycle performance. Our cash conversion cycle days in the quarter were 90 days compared to 94 days in Q1. This four day improvement was primarily driven by $38 million reduction in inventory during the quarter. Please turn to Slide 9, for an update on liquidity. Free cash flow generation continues to be a key performance metric for the company. In Q2, we continued to execute on our working capital efficiency plan, which combined with our net income performance enabled us to generate $56 million in operating cash flow and $47 million of free cash flow in the period. Given our first half performance and forecast throughout the balance of the year, we are again raising our full-year 2024 free cash flow estimate. We now expect to deliver greater than $120 million on the year. Our cash balance on June 30th was $310 million a sequential increase of $14 million. In the June quarter, we leveraged our free cash flow performance to further reduce debt by $26 million. As of June 30th, we had $126 million outstanding on our term loan, $165 million outstanding against our revolver and $381 million available to borrow under our revolver. As of the end of the quarter, we have returned to being net cash positive. We invested approximately $9 million in CapEx in Q2 in support of continued growth and enhanced capabilities in both our Mexico and Penang facilities. We expect Q3 CapEx to be between $10 million and $14 million. On a full-year basis, we anticipate CapEx to be in the range of $45 million to $55 million. In Q2, we paid cash dividends of $5.9 million. We did not repurchase any shares in Q2. As of June 30th, we had approximately $155 million remaining in our existing share repurchase authorization. Please advance to Slide 11. Turning to guidance, we expect Q3 revenue to be in the range of $630 million to $670 million. We expect non-GAAP gross margins to be approximately 10% consistent with last several quarters. SG&A expense is expected to be within the range of $33 million to $35 million. Non-GAAP operating margin is expected to be between 4.8% and 5%. As a reminder, non-GAAP operating income excludes approximately $4.5 million of stock-based compensation, $1.2 million of amortization of intangible assets and $1 million of estimated restructuring and other expenses. Our non-GAAP diluted earnings per share is expected to be in the range of $0.52 and $0.58. Other expenses net are expected to be approximately $6 million. Although interest expense is expected to decline sequentially, this will be partially offset by increased foreign exchange headwinds. We expect that in Q3, our non-GAAP effective tax rate will range from 22% to 24% with a weighted average share count of approximately 36.5 million. On a fiscal year basis, we believe the average 2024 effective tax rate should be approximately 23%. And with that, I’ll turn the call back over to you, Jeff.
Jeff Benck: Thanks, Arvind. Please turn to Slide 13. Let me start with some further color on our performance by sector. Within Semi-Cap, our second quarter performance was up 5% year-over-year and 4% sequentially, a bit better than our expectations entering the quarter as we continue to gain share. We’re starting to see signs of recovery from existing programs within key customers, while at the same time benefiting from several new wins which are beginning to ramp. This win momentum continued in the second quarter, highlighted by a large new program win at an OEM where we’re becoming a second source to support the projected growth plan. This quarter also saw us continue to build upon our engineering wins, reinforcing that we are not only a trusted supplier in building semiconductor capital equipment, but increasingly as a design partner. We continue to be optimistic about the multiple catalysts driving future growth in the Semi-Cap sector and are pursuing this with continued capital investment as evidenced by the planned opening of our newest building in Penang, Malaysia later this quarter. Nearer term, although some customers are still bringing inventory levels down, we believe we are in the early stages of recovery of the market’s recovery, which we will believe will enable us to grow Semi-Cap revenue in the low-double-digit range this year. Looking to 2025, signs are pointing to the potential for a broadly improved demand environment. Given our program wins over the last several quarters, coupled with our capacity expansion, I’m confident we’re in a great position to capture this opportunity and continue to gain share. In Medical, as we have seen over the last couple of quarters, end demand softness exacerbated by OEM inventory consumption has challenged sector performance notably in medical devices. Our June quarter revenue was down 23% year-over-year. While in the near-term we expect these headwinds will persist, we continue to secure new program wins in manufacturing and engineering in both the medical device and biotech subsectors. Looking forward, we expect these new programs will begin to contribute as we progress through 2025. In the meantime, we expect Medical sector revenue to remain consistent with current levels in the second half of 2024. Turning to Complex Industrials, we continue to extend our share in key growth markets with manufacturing wins in the quarter including test and measurement and automatic ID and data capture solutions. Very importantly, as a sign of future growth in our industrial business, we secured over a dozen engineering wins this past quarter that we expect will lead to manufacturing wins. Industrial’s revenue in Q2 was down 15% year-over-year and flat sequentially. Although our new program win momentum continues, we are seeing near-term demand softness impact several of our existing programs. Like many of our peers, we expect these conditions to persist during the September quarter with early indications of a potential return to growth exiting 2024. Turning to A&D, we had another strong quarter of revenue performance, up 36% year-on-year and 3% sequentially. Our Defense business continues to see demand strength from both existing business and ramping new program wins. Continued improvement in our supply chain is also benefiting us as we are more able to fully meet demand. Within aerospace, demand has stayed strong for several quarters with a good balance between commercial air and space applications. As an example of this, during the quarter, we won a substantial expansion of existing program with a commercial air customer, while at the same time winning multiple new manufacturing wins within the Space subsector. While these are early stage, the breadth of our momentum here is encouraging. Looking at September quarter, we expect revenue growth solidly both on a sequential and year-over-year basis. Given our year-to-date performance and back-half expectations, A&D revenue on a full-year basis is expected to grow in excess of 20%. Total AC&C revenue declined 26% year-over-year and 11% sequentially in the June quarter. We expect sector pressures to persist through the back-half of the year driven by the completion of several high-performance computing programs in the first half and continued pressure in our Communications subsector as a result of significant customer disengagement as discussed last quarter. Despite the near-term revenue challenges, we continue to win significant new business in the quarter. Just to highlight, one, we were awarded manufacturing for a family of wireless transport and access systems, which we expect will contribute to a return to growth in this sector in 2025. In summary, please turn to Slide 14. Once again, I want to thank the Benchmark team for another solid quarter built on consistent execution and delivery. Despite the challenging market dynamics, we continue to invest in our customer success in support of our mutual future growth. Evidence of this is our ability to build on business with both new logos and expanding our share with existing customers, all while driving operating efficiencies to improve margins while bringing costs down for our customers. As I look at the 2025 objectives we provided back in Q4 of 2022, we continue to make steady progress on almost every metric. The one exception is revenue growth, which has been impacted by the macro environment. Despite this demand volatility, we’ve delivered year-on-year non-GAAP gross and operating margin expansion every quarter since introducing our 2025 target model. We’re well on our way to achieving our goal of greater than 5% non-GAAP operating margin on a full-year basis. Also per our 2025 targets, we remain committed to working down inventory and driving free cash flow. Our second quarter inventory was down $157 million year-over-year, helping us to achieve our 5th consecutive quarter of positive free cash flow. Our focus on inventory is not letting up and we expect continued improvement. This provides us confidence to increase our free cash flow forecast for 2024 to greater than $120 million. Lastly, we committed to returning capital to investors. Today, we announced that the Board has approved an increase to our regular quarterly dividend to $0.17 per share effective immediately. Although, we did not repurchase shares in the quarter, we intend to do so in coming periods. Looking a bit further out, we are seeing clear indications supporting growth across many, if not all of our sectors during the course of 2025. A&D remains strong. Semi-Cap is poised for reacceleration and we believe industrials will begin to recover later this year. Medical and AC&C may take a little more time, but we’re cautiously optimistic about the growth for each later next year. Meantime, we will remain disciplined operators and steadfast supporters of our incredible set of customers. Only by doing this can we best position ourselves to maximize the opportunities in front of us as the demand environment improves. With that, I’ll now turn the call over to the operator to conduct our Q&A session.
Operator: Thank you. [Operator Instructions] We’ll move first to Steven Fox with Fox Advisors. Your line is open.
Steven Fox: Hi, good afternoon. I had a few questions. Like, I guess, I wanted to start-off on the cash flow story. So, obviously, like you said, it’s been getting better each quarter. If we look back over the last couple of years, there’s been some big ebbs and flows. So, how do we think about as you get maybe through the end of this year, what a normalized free cash flow can look like on the business? And then, I had a couple of follow ups.
Arvind Kamal: Yes. Steve, hi, this is Arvind. I think as we had stated in our prepared remarks, through the first half of the year, we’ve done $90 million of cash flow. We think it’s going to be at least $120 million if not a little bit greater. The inventory reduction is the backbone of that improvement. So, I think you can definitely see that $30 million or $40 million or so cash flow improvement in back-half of the year. So, I think you start there first and foremost. When you look at normalized cash flow, I mean, I think we kind of stood by the $70 million to $90 million on a go-forward basis. Obviously, we’re doing better than that in 2024, but we’re also coming off pretty significant inventory balance and we’ve kind of driven that down, which has allowed us to free-up more cash than we initially projected and you kind of see us outperforming over the last 12 months. But, we do think that will moderate, but it still be healthy cash flow in ‘25 and beyond.
Steven Fox: Okay. So $70 million to $90 million is kind of a base case going forward, I guess, is that right?
Arvind Kamal: That’s how we’re thinking about it today.
Steven Fox: Oh, okay. Great. And then, Jeff, can you just expand a little bit on the new plants opening up? You mentioned, Mexico and Penang, and you mentioned a few things going on in Penang. But, like, how are we, as business comes back, sort of where’s capacity? What’s capacity being added for right now? And how do you feel that you need to expand over the next few quarters? Thanks.
Jeff Benck: Yes. Thanks. I think you see two dynamics with us. We’re clearly expanding our capacity in low cost near regionally and low cost regions that are close to where consumption is. So, recently actually our COO was just over in Romania where we have the facility over there supporting the Europe market and we just almost doubled the capacity in that facility and it’s just coming online with, the opening or expansion of that. That’s not on a site that we already have a footprint on. Correspondingly, in Mexico, we’ve talked about new building going on there, in Guadalajara. So, we’re excited about that and the potential that we see there. We still see, many customers want to regionalize in near shore, some back from China and Asia. But, just in general with the move towards outsourcing, we feel like it made sense for us to continue to add capacity and we’ll be growing our footprint there. The one other region that we’ve had quite a bit of investment is in Semi-Cap and in our precision technology group. That’s where the new Penang facility sits that we’ll be looking to, that we I think referenced in the remarks about that opening, brand new building over there in Penang in Q3, which will give us additional machining, clean room and sophisticated assembly capability for the semiconductor market. That complements an expansion we did here in Phoenix earlier in the year. So, I think we’re well-situated where this next upswing in semi will be well-positioned because we invested in the downturn and now have available capacity as we expand the business.
Steven Fox: Great. And, if I could squeeze one more in, it sounds like you’re kind of calling spring in Semi-Cap cycle. So, I was just curious what kind of spring you’re looking at it. Is there frost on the ground, or is it, like, sunny and it’s baseball season?
Jeff Benck: We’re incrementally more constructive. We’re now talking about double-digit growth this year, in a year that others have said capital spending will be down. I think that we feel like we’ve done well with incremental wins and we’re starting to see some recovery there, kind of been led on the memory side, and we’ve been growing our position there. We’re probably a little more exposed to logic when you when you look across the mix. But, we are, there’s certainly a set of our customers that are seeing incremental improvement in second half. But then there’s a few others that are watching inventory close. So, I would say, it’s certainly more than stabilized and we start to see sequential growth. What ‘25 looks like, I’ll be interested on how the second half shakes out and whether we see it be a super growth year or just incrementally positive. I think it’s a little early to call where ‘25 whether we’ll be in midst of summer, by the beginning of ‘25. But certainly, we’re more constructive on this space.
Steven Fox: Great. Super helpful. Thank you.
Jeff Benck: Sure. Thanks for the question.
Operator: We’ll move next to Melissa Fairbanks with Raymond James. Your line is open.
Melissa Fairbanks: Hey, guys. Great quarter, great results. Really, really good to see progress on the inventories and the free cash flow as well. I also have a few questions for you. Maybe just a quick follow-up on the expansion in Romania. Is there anything we should be assuming for OPEX with the expansion or would that just kind of flow through as the production and the revenue ramps? And have you disclosed which end markets you’re servicing from that location? Sorry to cut you off.
Jeff Benck: Yeah. I could give you a little color on both. No. Good question. We certainly have really factored that into our operating expense. There’s not a big step up there. It’s been a benefit that we’ve been able to expand in the footprint we’re in. So, it’s funny, like the manufacturer has almost doubled, but it was only we didn’t need to add because there’s offices and other parts. So, it was a modest incremental expense, which is great. We’re doing a lot in the industrial space, in that facility. So, I look to industrial as a key kind of growth opportunity there. We also do support some Semi-Cap from there as well, more on the EMS side of things, not machine, but more complex assemblies. So, that’s where I would say most of the effort is. Of course, we do have medical customers in Europe and there’s opportunity there for growth, but those are the three focus sectors for that for our site.
Melissa Fairbanks: Great. And then, maybe, Jeff, you’d highlighted a lot of engineering wins in many of your segments. I was wondering if you could give us a little more color on what that revenue opportunity could be, if that’s something that can be quantified at this point, and maybe what the margin profile of that business looks like versus, as compared to manufacturing wins.
Jeff Benck: Yeah. We track engineering for us. I mean, obviously, from a total revenue, it’s a smaller percent of the company and we haven’t typically broken it out. But it’s meaningful because we love to get involved early in product realization and help customers design the product. We might be doing engineering for test, but oftentimes we’ll be doing product development. We’re a bit unique there. And at that point when we design it, we tend to be who better to go build that. So, we kind of look at it as a good early indicator of an opportunity that can grow beyond that. From a margin standpoint, again, it’s pretty competitive space, but it is higher than our corporate gross margin, the engineering work we do because customers do keep the IP, they pay us for the work we do and would love to be an extension of their engineering team. So, from that standpoint, it can be accretive. But it’s not so much, I mean, obviously, we want to continue to grow our engineering revenue, but I’m not sure that’s not the only thing we’re focused on. We’re really looking at helping customers get to market quicker and the opportunity for what the flow through could be into manufacturing. And yes, we certainly have seen quite a bit of design work going on in medical, industrial and Semi-Cap probably more in those segments. But we’re also look at attach rates like if we win EMS business, how much of it involves engineering and vice versa. We start with engineering. We really want to capture the manufacturing.
Melissa Fairbanks: Great. Sounds good. If I can squeeze in one more. I think Semi-Cap just kind of following on that, Semi-Cap is your highest or maybe close to the highest margin business. Nice to see that maybe we’re turning the corner there. Some at least a spring. It may not be a 10p spring, but maybe, a more mild spring. Is there anything, we should be assuming for the margin progression into 2025 or are there still so many moving parts?
Jeff Benck: It is greater than corporate average gross margin and kind of depends on the type of business. I mean, if it’s clean room, super sophisticated, more value add, then it might be on the higher end of the corporate gross margin range. So, from that standpoint, it certainly can help us. I mean, obviously, we’ve been north of 10% now a couple of quarters in a row. And really that’s by being a bit discriminating than where we play in highly regulated markets. But Semi-Cap certainly can help us go further there and there’s opportunity in that. I think it’s really going to depend. Do we see a hockey stick or is it a more gradual ramp? Certainly, there’s plenty of catalysts out there with the CHIPS Act. And I know here in Phoenix, there’s several of the buildings that are just coming out of the ground, and they’re going to buy capital equipment as those come online. I think what probably excites me most about semi is that we’ve won a fair amount of business and I think we’re gaining share independent of the market recovery and that’s really what’s helping us grow in a flatter environment, I’ll say. I won’t even say down, I’ll say flatter with the double digit growth. And so is that if those opportunities kick in and we’ve invested where some of my competitors have trimmed their capital in semi, we’ve really doubled down. So, I expect to see that be a larger contributor for both revenue and margin as we get into ‘25. Calling exactly where that lands, we got work to do still on landing 2024. But, but we’re, like I said, pretty constructive on it.
Melissa Fairbanks: Okay. Great. Thanks very much. That’s all for me for now.
Jeff Benck: Yep. Thanks for the questions.
Operator: We’ll move next to Jaeson Schmidt with Lake Street. Your line is open.
Jaeson Schmidt: Hey, guys. Thanks for taking my questions. Jeff, just following up on that last question on gross margin. Obviously, based on the guide, Q3 will be the fourth consecutive quarter of double-digit gross margin. Should we think of sort of this double-digit level, the new or underrate going forward? I know it’s going to be mix dependent, but just kind of given the programs you go after, is this sort of the good range to use going forward?
Arvind Kamal: Yes. Hey, Jaeson, this is Arvind. Let me take that one. So, we’re definitely pleased with our margin performance based on our high value focus and expense management. And as we go forward and certainly not meant to be a guide, but just give you color and as we think about how we think about going forward. As we start seeing more volume come through, there’s going to be definitely some opportunity with margin, especially with added factory load and optimization to see that margin potentially go a little bit higher. Same holds for operating margin. Once we see that incremental volume and continue to focus on operating expenses, we should see equal or greater margin expansion.
Jeff Benck: Yes, maybe I’d just add a little color to I’ve been to agree with Arvind’s comments. I think some of it’s going to depend a little bit on loading. We talked about incremental capacity and number of factories, right, even on this call. And so, right now, while we’re seeing a modest decline given some of the softness in a couple of the macro environments and couple of sectors. I think the revenue growth is going to be meaningful, particularly the right kind of revenue to see that further progression. We’re not certainly looking to step back, but to really take that further and part of that will also be the semi contribution as we already talked about. So, I think that we’ve done really well in an environment where we have seen softer demand and we’ve worked on operational efficiency and we’re going to continue that cadence. But getting the right incremental business and growth in the wins we already have and the programs we have in the sites that aren’t fully loaded will help a lot in that dimension.
Jaeson Schmidt: Okay. That’s helpful. And then just as a follow-up, you’re seeing some nice traction in the A&D segment. Is this momentum really more of a function of the overall demand environment? Or is it really being driven by you guys taking share and winning these new programs?
Jeff Benck: Couple of things there. I mean, we I would say, certainly, the A&D segment probably was most constrained due to component availability and supply chain challenges. In fact, we heard some of our peers reference that still. I think we’ve cleared a tremendous amount of that and so that’s allowed us to recover. And maybe there was a little bit of backlog there that might have helped, but I mean, obviously, you see we grew more than 30% this quarter. A lot of that is a combination of existing programs and then also some new wins that are adding to it as that it’s really a segment that we’re committed to. The other thing on the defence side, there’s a lot of activity around the world that unfortunately is driving a lot of spending there. I say unfortunate because they’re usually related wars. Wars unfortunately require a lot of defence spending. And so that’s a driver just in the overall demand. And then also just making sure that we’re protecting our country and such. So, I think that just the overall market looks to continue to be strong, but then supported by a mix of new wins as well and better ability to fulfil the demand. So, it’s more than one factor, few moving parts on that Jaeson, but hopefully it gives us some color.
Jaeson Schmidt: Okay. No, that’s helpful. Thanks a lot guys.
Jeff Benck: Sure. Thanks for the question.
Operator: And we’ll move next to Jim Ricchiuti with Needham and Company. Your line is open.
Chris Grenga: Hi. Good afternoon. This is, Chris Grenga on for Jim.
Jeff Benck: Hey, Chris.
Arvind Kamal: Hey, Chris.
Chris Grenga: Hey. Just wondering if you could elaborate on, some of the early indications that you mentioned about, the growth that you’re seeing in the specialty industrial. Just wondering if you could just elaborate on what you’re seeing there.
Jeff Benck: I think what there’s a number of dynamics going on there. We see continued focus on automation. Folks are looking at how do they get more efficient. We also see a lot of effort around energy controls and we see good growth there. It’s interesting even if you take the HVAC market for example, folks moving from furnaces to heat pumps and variable speed control systems. And as that transition happens in the marketplace, you go from on/off to variable speed. Now you’ve got electronics involved. So, see an interesting growth in demand and, electronics adding smartness to a lot of these devices. People want to be more energy efficient, but at the same time also that variable speed nature is an opportunity for us. So, I think we’re excited about that and we’re playing with a number of customers there. We do have a strong pipeline of industrial wins and it’s an area that we’ve grown our participation, but we think there’s a lot more we can do. And so when we look at David Moezidis came on as our Chief Commercial Officer, has a ton of industrial experience and he’s built out his team. We’re putting a lot of energy there just because we think we have compelling offer for customers and we see the opportunity in things like I just described. HVAC is one market there. We also, like the robotic space and like what’s happening there. Everyone’s trying to be more operationally efficient and we’ve got a lot of experience with complex systems and putting those kind of solutions together. So, that that’s playing into our thoughts on industrial a bit.
Chris Grenga: Got it. Thank you for that. Within advanced computer, is there any overlap or any exposure to the AI screening clusters or any overlap with the high performance compute franchise. Is that anything –
Jeff Benck: Sorry. I didn’t mean to cut you off.
Chris Grenga: Just curious what if any exposure or overlap there is there?
Jeff Benck: Yes. We have built some of the largest, help build some of the largest supercomputers. If you look top 500, a couple of the top 5, we played a key role in supporting that. And if you look at where they’re going, whether it’s National Lab or to a company that’s looking to do large scale simulations and analysis. I mean, it certainly has an AI bent to it. And several of our customers have talked about HPC, these sophisticated oftentimes water cooled systems playing into the AI movement. So, we think that’s an area where we can participate. While we don’t build the hyperscaler platform, some of the guys in our space do, we certainly have played in the most sophisticated HPC, environments and solutions. We think energy is a natural one, where everybody is putting a lot of effort around analysis around the climate and other complex problems they’re looking to solve and these systems can play into that pretty heavily. Another area that is kind of natural for AI is just Semi-Cap, right? And when you think about wafer fab equipment and semiconductors going everywhere with the explosion of that, whether it’s IoT or just intelligence in EV vehicles or anything else. I mean, we certainly see the Semi-Cap is a bit of an AI play. But the HPC, I mean, you’re hitting on one that we know there’s opportunity there. May not be quite the same as the hyperscaler, but there’s a lot of effort going into, how do we just get smarter. Even quantum computing, you could argue, plays a role there and those solutions can play.
Chris Grenga: Great. Appreciate the color. Thank you.
Jeff Benck: Sure. Thanks, Jim.
Operator: We’ll move next to Anja Soderstrom with Sidoti. Your line is open.
Anja Soderstrom: Hi. Thank you for taking my questions. Sorry if I missed this, but I heard you talk about a lot of the other end markets. But in terms of the medical, what are you seeing there in that maybe bottoming out in terms of inventory buildup and when do you anticipate that to come back?
Jeff Benck: Yes. I think medical, it’s interesting because we’re pretty exposed to medical to the medical device side as you can imagine. I know we’ve talked about some of the devices that we build to support. We have seen a softness there and we know that there were some inventory build-up coming out of COVID that we’ve seen our OEMs get more sensitive about bringing their inventories down. We’ve also seen some softness across a number of customers. So, I can certainly tell you it’s not one particular customer, but we’ve seen that medical softness. Our thinking right now, at least we have seen some stabilization, so it’s not like anything’s falling off the cliff. But we do think through the back end of 2024 that we probably won’t see substantial pickup just based on the signals that we’re getting and the visibility, not uncommon to have six months of visibility. We do believe in ‘25, we’ll see that turn around and we believe we’ll see recovery there. Little hard to predict if that’ll be first half or second half, but I think medical is one segment that is certainly weighing on our revenue growth in this year. But everybody has a bit different exposure. I won’t say we’re seeing more new opportunity in like biotech, and everyone’s doing a lot. It’s amazing some of the DNA sequencing and some of the work that’s going on new drugs and really new solutions that are going to be great for the industry and really for our collective health, right? So, we see a lot of growth there, a lot of investment there. And that’s an area we see some new wins that are very exciting to us and opportunity there. But in the short-term, the medical device area definitely in the customers that we have, which is fairly broad, we have a pretty large medical business, is softer in ‘24.
Anja Soderstrom: Okay. Thank you. And, again, sorry for if you talked about this before, but the cash cycle days, the cash flow has been improving quite a lot. Is there more room there and do you have a target?
Arvind Kamal: Yes. Hey, Anja, this is Arvind. So, we talked a little bit about as you’ve seen or heard from our call today, we raised our free cash flow target to be at least $120 million or greater. And what’s really driving that is the inventory reduction. Currently we’re four turns of inventory and as we laid out in our long-term plan for 2025, we’re looking to be about five turns. So yes, there’s definitely some ways to go there. But for now, I think you can assume that $70 million to $90 million on average for the year type of free cash flow type of modeling.
Jeff Benck: Yes. And I think inventory has been an explicit focus and it’s nice to see the team continue to work on burning down inventories and work with customers on bringing the inventories down. As Arvind said, we still have room to go. We don’t think we’re done with that journey, as he talked about with the number of turns. So, we certainly have made a tremendous amount of progress and we’re pleased with that. But, but there’s more opportunity here. We’re not back down to what I would say normal where we would expect to be.
Anja Soderstrom: Okay. And then one last question if I may then. What’s your done practice for the cash on your balance sheet? Did you buy back any shares this quarter? Is there any reason for that or?
Arvind Kamal: Yes, Anja, I think our focus really has been in the short-term is to pay down our short-term debt, our revolver. And I think you’ve seen over the last several quarters, we’ve been really focused on bringing that balance down and we’ll continue to do that. And as we mentioned in the call today, we’ve increased the dividend. So, with that, but we still remain focused on looking at opportunities to repurchase shares as we outlined.
Anja Soderstrom: Okay, great. Thank you. That was all for me.
Jeff Benck: Thank you, Anja.
Operator: And this does conclude the question-and-answer session. I will now turn it back to Paul for any additional or closing remarks.
Paul Mansky: Thank you, Chloe, and thank you everyone for participating in Benchmark’s second quarter 2024 earnings call. As a reminder, we’ll be attending the 13th Annual Needham Virtual Industrial Tech, Robotics and Clean Tech Conference on August 19. Please check the events section of our IR website at ir.bench.com for updates to coming investor conferences. With that, we thank you again for your support and look forward to speaking with you soon.
Operator: This does conclude today’s program. Thank you for your participation. You may disconnect at any time and have a wonderful afternoon.